Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti Second Quarter 2013 Results. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks, Dylan. And everybody welcome to the presentation of AngloGold Ashanti's Q2 Results for the 3 months to June 30. It's a fairly full agenda here today, a slightly longer presentation than usual. If I might just quickly talk to you the flow of events for today, we're going to kick off with CEO, Venkat, as many of you know, will give some introductory remarks and then an overview of the quarter, and some of the initiatives that are currently underway in the business. He'll hand over to Mike O'Hare, who's our Chief Operating Officer of the South African business, who apart [ph] to run large into the Chief Operating Officer of the international assets. Richard Duffy, our CFO, will just give an update on the earnings and then [indiscernible] close with some concluding remarks. As a custom with us, just a quick read-through the Safe Harbor statement. Before we proceed, certain statements contained in this document, other than statements of historical fact, including without limitation, those concerning the economic outlook for the gold-mining industry, expectations regarding gold prices, production, cash costs and other operating results, return on equity, productivity improvements, growth prospects and outlook of AngloGold Ashanti's operations, individually or in aggregate, including achievement of project milestones, commencement and completion of commercial operations of certain of our exploration and production projects and the completion of acquisitions and dispositions, AngloGold Ashanti's liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigations or regulatory proceedings or environmental issues, are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although AngloGold Ashanti believes that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in forward-looking statements as a result of, among other factors, changes in economic, social and political and market conditions, the success of business and operating initiatives, changes in the regulatory environments and other government actions including environmental improvement -- approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation -- and business and operational risk management. For a discussion of these and other risk factors, I refer to the document called Risk Factors related to AngloGold Ashanti's suite of 2012 reports on the AngloGold Ashanti online corporate website at aga-reports.com. These factors are not necessarily all of the important factors that could cause our actual results to differ materially from those expressed in forward-looking statements. Other unknown or unpredictable factors could also have material or adverse effect on future results, consequently, readers are cautioned not to place undue reliance on forward-looking statements. AngloGold Ashanti undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof, or to reflect the occurrence of unanticipated events except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to AngloGold Ashanti or any person acting on its behalf are qualified by the cautionary statements herein. This communication may contain certain non-GAAP financial measures. AngloGold Ashanti uses these non-GAAP performance measures and ratios to manage its business. Non-GAAP financial measures should be viewed in addition to, and not as an alternative for, the reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies may use, AngloGold Ashanti posts information that is important to investors on the main page of its website at anglogoldashanti.com or under the Investors tab on the main page. The information is updated regularly. Please visit the website to obtain important information about the company. Venkat?
Srinivasan Venkatakrishnan: Thank you, Stewart. Good morning, ladies and gentleman, on this call. If we can start off and if I can walk you through the slides and the presentation starting with Slide 5. You will notice that this is a repeat from our last quarter's presentation where we set our imperatives in terms of taking the business forward, getting sustainable free cash flow from a good quality portfolio, at the same time keeping the integrity of the business fully intact. We talked about capital allocation and how we are going to be aggressive when it comes to cost savings and in terms of how we will actually deal with the asset base and importantly, maintain a robust balance sheet for all environments. We committed in respect of certain projects to bring them on-stream within budget and on schedule and talked about roughly 500,000 ounces of incremental annual production coming on stream from Tropicana and Kibali at significantly lower cost levels as compared to the average cost profile of the group. At same time, we said we will preserve our long-term optionality within the portfolio in the South African side of the technology innovation consortium, which is looking at improving the way we mine and giving us access into previously mined out areas and [indiscernible] and with regard to the international portfolio around Colombia. We also said throughout this process, the safety of our people will not, at any cost, be compromised and we also said we have got the leadership of the team and the people to deliver these results. So moving a quarter forward, we're going to walk you through and you'll see a number of these points have been addressed or in the process of being addressed in the course of this presentation. Starting with safety. Safety is, and will always be, our first value. We've done a lot of good work over the past 5 years in this area of safety, creating a mindset change in terms of how we approach safety within the business and as with greater focus in terms of safety initiatives and effort throughout the organization during difficult times. Sadly, we had 2 fatalities recorded in the second quarter, one was a TauTona, and other was in Mponeng as a result of fall of ground, and a locomotive accident, respectively. Both of them related to our mines in the West Wits region. And we have gone through a detailed investigation of all of our fatalities, which have occurred in the last 12 months to learn from the mistakes, which have happened, and how our behavior, our training and controls and the potentially sanction procedures can be improved as a result to basically bring down the level of fatalities. We are focused on fatalities, largely because: A, obviously, we have to give a -- we've got to get to a 0 harm environment within the workplace, and 1 fatality is 1 fatality too many. But importantly, over the last 5 years, the level of fatalities at our mine had relatively being flat and have shown signs of increasing at the end of 2012. Green shoots are starting to emerge on the fatality front. If you look at the first 6 months of this year compared to the first 6 months of last year here on Slide #6, you'd notice that our Continental African region, our Americas region, our Australia region and exploration team. In addition to that, our Vaal River region in South Africa, all of them recorded a fatality free for 6 months, and that's an all-time record. The fatalities were focused in the West Wits area, and Mike O'Hare and our head of safety for the group are actually focused on improving the performance in the West Wits region. And year-on-year, we have reduced the fatalities for the same period from 9 to 5. Importantly, in the Continental African region in the month of June, the month of June is important because that is when Continental African operations were transitioning from Richard Duffy to Ron Largent, and they were going through quite a formidable change during that period. And even during this period, the overall safety culture was not compromised and the region recorded 5.4 million hours worked through the months without a single lost-time injury. So focus of safety is of paramount importance because whenever the industry of the operations are on pressure -- on the pressure, we can't afford to have corners cut from a safety point of view. Turning on to the second quarter, I'm going to cover this at a relatively high level, and Mike, Ron, and Richard will unpack these from their respective areas of accountability. Production of 935,000 ounces was at the top half of the guidance and it was around 4% better than the first quarter of 2013. Our cash cost of $898 an ounce was better than both the initial guidance of $900 to $950 an ounce, and also our July announcement of $900 to $920 an ounce, so the focus on cost is coming through. And we have had improved performance from the Continental African assets and Serra Grande mine in Brazil. In terms of net profit, we reported a net loss for the period, given the accounting adjustments on impairment, we flocked [ph] to the market given the sharp drop in the gold price and the move in the discount rate. We will record an impairment charge, including the write-down of, of stockpiles of between $2.2 billion to $2.6 billion. The impact was in the middle of the range at around $2.4 billion, and the impact on adjusted headline earnings was a consequence of the lower gold price and the fact that the stockpile write-downs although our book entries are not added back for the purpose of headline earnings. But Richard will demonstrate to you that if you had to strip out these exceptional items, we were positive to the tune of around $9 million for the quarter. We've made solid progress in terms of the cuts cost reduction in the areas like corporate, exploration and even capital expenditure. We'll cover that in subsequent slides. And the good news is on the production front, Tropicana has started commissioning, apologies from Graham Ehm, he's not at this presentation today. He's at the Tropicana site, taking the time to ensure that the commissioning actually happens as per plan. He's targeting gold pour in the third quarter. And Randgold has also announced that they are targeting the first gold pour from Kibali in the month of October. So we've got 2 projects coming on stream. Refinancing, Richard will talk about it. We raised $1.25 billion, removing the refinancing risk from the maturing convertible in May 2014. We have also turned out our maturity profile, added liquidity at an incremental interest cost as compared to where we are now within our tolerance limits. Importantly, we have allowed our flexibility to redeem the bond early under certain scenarios. In terms of dividend, the board at its meeting held earlier the week, deliberated this at length. We declared a first quarter dividend of ZAR 0.50, and we have taken a call that for the second quarter and the third quarter, given the volatile gold price environment, the potential around the wage negotiations in South Africa, and also importantly, we are in capital project boom mode, where the projects premium gold before the end of the year, and therefore we have taken a breather for both quarter 2 and quarter 3, and the quarter 4 dividend will be reviewed at the year end. And we are then reverting back to half yearly, quarterly -- pay half-yearly payments of dividends going into 2014. Turning to Slide 8, a snapshot of the management team. The team is fully committed. The transition has been relatively smooth. The team is committed in terms of the challenges with the business phase. We are certainly going to go through as an industry, pretty challenging times over the next set of 6 to 18 months, and the business is geared up to face those challenges. If I can spend most of those phases would be familiar for those on the call, if I can spend a little bit of time on the operational and technical side, they have been clustered now under 3 of our colleagues. And between the 3 of them, Ron Largent, Mike O'Hare, and Graham Ehm, between the 3 of them have operating experience of over 105 years. Between the 3 of them, if I can start off with Ron. Ron is our Chief Operating Officer, International Operations, and he's currently continuing to manage the Americas regions, has got [indiscernible] under his belt, transitioning from Richard Duffy into his structure, and he's also overseeing the cost reduction program across all of our mine sites with support from both Mike O'Hare and Graham Ehm. Mike O'Hare has been in the South African region for several years. He knows the ore body backwards, and Mike is managing the South African portfolio, spending a significant proportion of time at the mine sites during these periods. With regard to Graham Ehm, Graham retains the accountability for Australia until the projects are commissioned and Continental Africa is settled within Ron's structure. He has also taken on the planning and technical portfolio from Tony O'Neill and the exploration portfolio from Tony as well. So we've transitioned the operational piece pretty successfully within a 2-month period since the appointment was announced, Richard has moved across to being the CFO and Charles was taken on my accountability in terms of M&A and transaction execution, et cetera. But as for the portfolios are largely unchanged. Moving on to Slide #9, which is quite an important slide in the presentation. Here, we demonstrate how we are coming at the problem, which AngloGold Ashanti is tackling. We're taking it head on and we are coming at it from 2 broad angles. Firstly, around revenue enhancement. Here we have 2 projects, Tropicana and Kibali. Coming on stream, on-time and on budget, where particularly given the backdrop of project blowout in terms of cost and in terms of timeline. These 2 projects, and one has to bear in mind, Tropicana is the first greenfield project built by AngloGold Ashanti since its formation outside South Africa. So given that challenge, which we have had Tropicana has come all exceptionally nicely. And Kibali through our joint venture partner and operator Randgold, is looking at pouring gold in short timescale as compared to when Tropicana is set to pour gold. Between the 2 of them, they should be giving around 550,000 to 600,000 ounces in 2014, at an average cash cost well below our current cost number that reduces the rally of the debt, in other words, we are basically bringing in cash flows to pull down the debt. It also brings in cash flow, which was not there in the business before, and it lowers our average cash cost profile. At the same time, we are expanding Cripple Creek & Victor in North America. And that effectively is the incremental expansion, which takes place until 2016, '17, with cash flow post production up from end '14, early '15 over that period. What we are also doing over this -- over the current planning cycle, we just started this month, going until the end of December, we'll be removing unprofitable ounces from the plan, all of the business plans are going back to the chopping block again. And we are looking at planning at low prices at around $1,100, call it the base case scenario, and that fully operators are working in terms of all of the mine plan. And effectively, looking at price scenarios, both above and below that. And at the end of the day, certain assets won't make it. Some of them may need to mine stockpiles for a period. Some of the assets may need to be sold or put on care and maintenance or mothballed. At this stage, we do not want to speculate what they would be because historically, the mines were actually looking at preserving probably production, and mine life here the focus is on preserving optionality and generating cash flow. So we want to go back in there to look at what is doable in terms of the mine plan and making this change in quite an aggressive manner, but what we will not do is to look at just the short term. We will see whether there are other price lines appropriate for some of the ore bodies given their life cycle maturity. Whilst we are looking at the revenue enhancement on the one hand. We can't ignore the cost side. Project capital will reduce next year as these 2 projects have been commissioned. There will be an element of underground capital in Kibali going into next year, but Tropicana capital, project capital will cease. And the project capital reduces significantly going into next year with fewer projects, and at the same time, we'll be attacking sustainable capital savings. At the same time, Ron Largent with the help of the operators, will be looking at direct cost reductions across the suite. To preempt the question, which may come on the call, are we giving any guidance for 2014 in terms of production, cash cost or capital low at this stage, we want to completely extent of the planning because the 3 of these are intertwined and at the time of announcing our results at the end of the year, we will actually provide the guidance for 2014. But here, the objective will not be to chase a particular production number, but to look at what is the most optimum methodology to use in terms of maximizing our cash flow generation over the period whereas preserving the long-term optionality intact. Whilst this is happening, certainly to incentivize the operators to get the reductions faster, the corporate officer has taken control of the exploration spend on the corporate cost savings, and we'll come on to that in a second, we are looking at taking out around $460 million depending on the midpoint in 2014, as compared to the 2012 spend. And we'll illustrate on how we intend during that. That's around $100 an ounce coming off the all-in sustaining cost of the group when we go into 2014 as compared to 2012. And we have approached it quite methodically and step-by-step. If I can then spend time on Slides 10, 11 and 12, focusing on 3 areas, one around capital discipline. We have reduced our capital expenditure for the year by around $100 million to $150 million, and all of that is occurring in the second half of the year. We have not touched the capital spend in Tropicana and Kibali. They bring in gold within a short period of time. In addition to suspending the Mongbwalu project, and pushing off the Sadiola sulfide project, Moab Khotsong project had been postponed whilst Mike looks for alternative way of accessing that project. Mponeng deepening is also being slowed down as part of the review of the business plan to see if there's a better way of optimizing the expenditure and the production profile. The Cripple Creek expansion will continue, so will be the Obuasi ramp project as it brings in the high-grade ounces sooner. All of the mine plans are being redrawn, as I said previously. Our ERP project, which involves having the entire group migrating to a single system SAP has been completed in South Africa. It's being completed in Australia and it's in progress in the Americas. Once that is done, we will suspend the project for Continental Africa region. And take a breather that's around the saving of $113 million over a 3-year period, that's in terms of the capital spend. Turning to exploration, one needs to bear in mind of the group's new project, particularly Tropicana, has come as a result of exploration successes and also, our find in Colombia has been as a result of exploration. It has not been on account of acquisitions. So what is important is that we approach this not like an account at work, and preserve the optionality of not making a [indiscernible] its size. So the exploration rationalization has been built bottom-up by asking the exploration team themselves, where they would see the best bang for the buck. An impact of that, is that the spend in 2013, the expense exploration for that year has been reduced by $50 million to $327 million, all of these cuts are coming in the second half of the year. And thus, has take into account an existing cost from projects and termination provisions, et cetera, this is the best estimate at present. But what we can say is the exploration forecast for 2014, the expense exploration is locked in, at $150 million to $175 million, and that expense greenfields are about $35 million to $40 million, Colombia to preserve the tenements and to carry out limited geological work around $75 million to $86 million, expense brownfield are about $10 million to $12 million. And SA technology project, which Mike will talk about between $30 million to $35 million, that represents a sharp decline in what I would call the nice to have exploration spend, which was included 2012 and parts of 2013. So how will we achieve that? Core exploration skills have been retained to ensure that we have got continuity and historical institutional knowledge. We are focused on where we've been successful in previous years and providing for optionality in strategic areas. And as a result of that, we have decided to withdraw or farm out or effectively trade in for a royalty or equity projects which are currently being worked upon in 13 regions. And we only focus on 3 key areas, which are Tropicana, given the prospectivity which we are seeing in and around the mine site concession, beyond the brownfield boundary. Colombia, to preserve additional optionality in respect of that asset, and importantly, Siguiri, given its outperformance over the last 2, 3 years. The capital is being directed towards Siguiri, to basically help get additional fees into the plan. So there's a lot more focus going into exploration. And that has been reduced by over 60% -- 60% to 65% as compared to prior periods. The next area of focus is that in regards to corporate costs, at the end of the day, if we were to get the savings out of the system, more cost factors are present. So if we look at our corporate cost, they have gone up steadily from 2008 as we are building capacity. In 2012, it was around $291 million. We forecast a saving of $50 million as a one-line saving adjustment when we went out with our guidance of $240 million in 2013. We are preserving that guidance intact, given that some of the cuts, which we are seeing right now will involves some redundancy and termination payments. So we are not changing the annual guidance on corporate cost. What we are targeting is cost coming down to between $120 million to $140 million in 2014. Here, I'm on Slide #12. And the way we are doing it is coming at it from 2 broad angles. In fact 3 broad angles, and if I can give you the approach we have taken. If we want the business to believe that they are serious about the cuts, we have to start from the very top. And here we mean, the boardroom, the executive committee going down to various regional structures. The executive committee [indiscernible] have seen a shrunk from the same time last year, by 3 individuals. And we are down from 13 to 10 as an executive team, that's a reduction of around 25%. And in total cost to company has come down by around roughly 35% to 40%. And at the same time, in terms of senior roles, there have been about roughly 20%, 25%, which has come out from some of the senior roles over that same period. The focus here has been personally starting with the looking at the entire organizational structure, streamlining the management structure, across the organization, particularly given where the operations are talking into with regard to the various operators. We've identified multiple areas of duplication within the business and it's so nice to have activities, which perhaps one can we relook at without compromising the integrity of the business, but importantly, putting the technical support, which the operations need closer to the operations rather than distance away from the operations. And we have looked at the number of roles that exist within the group, or have a complement of around 60,000 employees across the group. In terms of who are not actually at the mine shaft or at the plant, but provide ancillary services to the mine or to the country office or region or corporate. This is across all of the countries we operate and we calculate the number to be around 2,000 and we are targeting removing 40% of that role across the entire global sphere. And this is starting from Denver going through Continental Africa and getting through Johannesburg through to our office in Perth. Out of that 2,000 employees, 800 is the number which will be the result of the exercise we would not have roles going into 2014. And we are more than halfway through this process of separation and redundancy payments. Secondary, we are targeting is indirect spend, use of consultants have been banned unless it's approved by other one of the chief operating officers or the CEO, the CFO. And In addition to that, under the leadership of our group General Counsel, we are going through meticulously looking at every element of spending included in the budget. And removing unnecessary items of spend, one could say we shouldn't have been there in the first place, that point, but notwithstanding that it's never late. So we are basically eliminating items of consultancy spend, travel, communication, information technology cost, et cetera, no cost to sacrosanct out here. You have noticed that our corporate cost have already come down in the second quarter by 13%. But as we go into the latter parts of the year, there would involve separation costs, which would be incurred, we're holding our guidance for the year, therefore, impact given the $50 million saving budgeted. The third area where we are coming from is that typically, the question then asked is what happens when gold goes up again, 2,000, 600,700 [ph] the management is committed that we will exercise sufficient oversight to prevent cost creep in the event of price were to pleasantly surprise us. Slide 13 is a very good graphical illustration of what it means for the business. And this is the tailwind the operators need to basically start bringing the operating savings and the performance to budgets at various mines. In 2012, you can see the amount spend was close to $750 million between expense, exploration, evaluation studies, and corporate cost. We pulled the guidance down to close to $600 million, at the start of the year, it's pulled back further in the revised guidance. But going into the 2014, the exploration expenditures locked in and the corporate cost are being targeted with a fair amount of aggression, so that it releases around $437 million to $482 million of savings as compared to 2012. And that's over $100 an ounce production in our all-in sustaining cost, and that's before the operators start to pull in the direct operating cost savings. So this is the tailwind, which has been provided when we go into 2014 along with the new projects poured in gold. With that introductory comments, I'm going to hand you over to Mike O'Hare.
M. P. O'Hare: Thank you, Venkat. I'm on Slide 15, the guide start to the year, certainly, was challenging in Q2 as the time of the price and that really happened in [indiscernible] as a result of the Easter break, our ramp up of the Easter break was not as good as it could have been. The 2 mines where we're having the biggest challenges, are at Mponeng where the drives continues to decline. This was predicted in the models. But is also contributing to the low gold production at Mponeng. On safety stoppages as a result of the fatalities at the end of the previous quarter and going into Q2 also affected the volumes at Mponeng. In late April we had an illegal strike at Moab Khotsong mine which resulted in us dismissing over 539 employees for illegal work stoppage. It took us some time to reorganize the work at that particular mine. The surface operations continue to perform well. And we're very comfortable with the improvements we've made at the Mine Waste Solutions, which reports not so long ago. On Slide 16, we very briefly tried to put down the major challenges that face us in the short term. And then the first one I think, up to most in our mines is finding a sustainable solution to the 2013, waste negotiations. We have put out as a gold industry who bargained together under the Chamber of Mines. Quite clearly, with our stakeholders, particularly, our unions, what the sharp fall in the gold price, rising costs and labor -- and lower productivity are putting us -- in what kind of position they are putting us in. We have made an initial offer of 5%, which was rejected by the unions. We handed over to an independent mediator, 2 experienced mediators who are currently talking to us as the gold producers and to the unions. All parties are currently participating in that process. Clearly, we understand that we would like to achieve a win-win scenario for the company, the industry and the country. But certainly, this will not be at all costs. We need to be completing our regional lease structuring much along the lines that Venkat described for the corporate pieces. We should have our plans best completed by the end of August, and hopefully we've implemented by the end of November. Our capital spend [indiscernible] is being rationalized. We've talked already about the projects spend at Moab Khotsong being postponed. The opening Phase 2 project has been slowed down, we'll continue with it. Effectively, that means it will take us an extra year to complete that project. And then we've completed the analysis of our ore reserve development and being able to stop development in areas where we are quite far ahead. The key issue of the productivity decline in the South African gold-mining area is uppermost in our minds, and it certainly where I'm spending a lot of time at the moment, the 2 key mines that we need to be targeting there are Moab Khotsong and Mponeng. But ultimately, the productivity step up required [indiscernible] will come from technology. If we move to Slide 17, a quick update on way we are with the technology. A reminder, we signed that we want to safely mine all of the gold, only the gold, all of the time. Initially, this new mining process will access those resources that's currently on preserve. And mostly as a result of being in areas that currently we feel be too unsafe to mine with the current mining methods. We've purchased our first 4 machines beyond the test machine, which we've been using for a year, those machines are being constructed as we speak. The new cutterhead that we've put on the reef boarder is proving quite successful and progressing well with the Ultra High Strength Backfill and the geology during process. On Slide 18, a brief update on how we're preparing new sites to receive the machinery that we've purchased and you'll see that we've chosen 4 sites to implement mining in the 2014. Three of those sites at TauTona are targeted at high grade areas, in sharp pillars that we had to abandon over the years for safety reasons. And then we've targeted the site at Kopanang mine, which is specifically aimed at seeing whether we can increase the productivity of mining ultra-narrow, high-grade [indiscernible], of which we have many that currently sit in our resource as secondary reserve. Very pleased with the progress that we're making on the technology side. So I can hand over to Ron Largent, to talk to us about the efficiency improvements.
Ron W. Largent: Thanks, Mike. And good morning, everyone. I'd like to start my discussion by expanding on a little bit of the discussion that Venkat had regarding the structural cost that we're doing throughout the company. And if I break that structural cost down a little bit, basically Venkat spoke to you about some CapEx and the overhead work that's been done, but what we're attacking also is our direct operating cost. Primarily, one of the biggest questions we get at is how do we execute this in a sustainable way? And I'll just briefly go into it a little bit to explain the sustainability of this program. Basically, we're attaching this to our operating framework, using our operating framework as the base to do this work. It includes work from multidisciplinary teams across the region and the corporate. And ultimately, pinned by the General Manager as the leader to all this work. We commenced -- we chose sites to commence so we can refine our model and those sites were Geita, Moab Khotsong, Cuiaba and Siguiri. They -- from those, we learned how to take them throughout the rest of our operations, globally. Since then, Cripple Creek & Victor, Sunrise Dam have been executed and this week, we're actually in Brazil. So the ultimate outcome is to embed the outcome of this work into the 2014 business plan. I think it's important to realize as you work on operating cost that you first must stop the -- I call it, the annual inflationary growth before you can actually get into a reduction. And the real key to this is to measure dollars out the door, not some metric that can be changed by an ounce or by a tonne, it's really dollars out the door. So our ultimate goal is to actually remove cost but to also embed it into our 2014 business plan. Just for example, there's many people have asked, how do you go in after working on your project one or your operating framework and pull additional cost? I think that the operating framework gave us the information and the solid grounding of a framework to be able to start working on some real structural cost such as contract mining, different mining schedules and methods, power demand work and life cycle optimization. So we're well into this process and our objective is to have them into our 2014 business plan. On Slide 20, it's just a visual representation of the process. I think the key is when we say data analysis, we now have data that's similar site to site based on our operating framework. And then ultimately, you get into where you're changing a specific action at each site to create a more efficient use of operating cost. But I think the key -- one of the keys, there's got to be a chance and it's got to be led by the operating sites. So we're well down the way, and hopefully, you will see this in quarterly results. In Slide 21, Continental Africa, some highlights, production rose to 343,000 ounces for the month -- or for the quarter at $883 per ounce. Individual asset highlights would be Geita production increased to 113,000 following the planned downtime of the SAG mill replacement. Siguiri had its 6 quarter in a row where it met or exceeded expectations. And I think the cost reduction has been seen here, but it primarily comes from increase in production, and actually had some reductions in operating cost at a couple of the assets. The other asset I would touch upon in Obuasi, the transition to owner development continues. And at the end of the quarter, we've actually seen an increase in our underground ore production by around 20%. Also at Obuasi as per board-approved project, we've commenced the decline development to allow new access into the ore body. This decline has -- we've met the first 250 meters of completion of this decline. The next slide is a little slide on Kibali, which I believe Rangold has already presented today. But the personal target is by the end of the year, I think he has come out and said in October, but I think there are some key aspects to this where there's already 1 million tonnes stockpiled from the open pit, that gives us the confidence that we've got the ore available for the processing in the fourth quarter. The work on the underground is progressing well. And the project still appears to have all the project specifics that was presented a couple of years ago as far as 485,000 ounces per year at $750 an ounce. The next set of slides is just a pictorial view of the mechanical work with the CIL tanks, flotation banks, the gold room and the generation farm of the Kibali asset. Now onto Slide 24, the Americas. Constant production in America is 235,000 ounces at $733 per ounce. The largest cost impact is that is an increasing cost come in Brazil with lower by-product credit and lower production due to some mining changes at Cuiaba mine. Cerro Vanguardia continues to be challenged with its inflationary environment, but production at Cerro Vanguardia has been in plan for quite a few quarters in a row. That's the highlights in the Americas. The next page -- or the next slide, Slide #25, is the CC&V MLE2 project. It's in the early stages from a construction standpoint. But the major milestones that have been completed is engineering is 99% complete and major contracts, the civil and mechanical have been awarded. And the earthmoving is taking place and the first concrete floor was in July. So this project is on schedule for completion in quarter 4 of 2014. Slide 26 is Australia. Basically, the production is 100% out of Sunrise Dam and had a tough quarter 2. And I think it states that there's $350 per ounce attributable to the recommencing the mining of the high-grade Crown Pillar in the bottom of the pit and the top of the underground. We will see these ounces come out in quarter 3 and quarter 4 at a quite considerable rate. So it will impact positively quarter 3 and quarter 4 production. The exciting part in Australia is the commissioning of Tropicana project where Venkat stated that Grahan Ehm is right now and not on this call. So if we go to the next slide, go into the Tropicana project, it's in the middle of commissioning. There are certain things completed, the powerhouse, the tailings facility, we have been mining for a full-year there as far as getting the open pit operation ready to go to feed the plant. And I think that a key is the initial grade control results are in line with the resource model. So the work continues and there are some exciting times at Tropicana. Next Slide 28, just a couple of pictures of the first ore going to the plant and the infrastructure at the mill. Slide 29 is some pictures of the open pit operations. And again, I think the real key here, the exciting part from an operating standpoint is you can start confirming your resource model with grade control estimates, so that brings our -- or reduces our risk, I guess, is how I'll put that, and as we move into the milling operation. And Slide 30, I think it's worthwhile noting that throughout the implementation and construction of the asset, the reserve and resources have continued to grow. We now have almost a 4 million ounce reserve and an 8 million ounce resource at Tropicana. So with that, I'll turn it over to Richard Duffy.
Richard N. Duffy: I'm talking to the earnings reconciliation on Slide 32. Our adjusted headline earnings for quarter 2 were a negative $135 million as compared to a positive $113 million in quarter 1. The reason for the reduction in earnings included a much lower gold price, $1,421 an ounce versus $1,636 an ounce in quarter 1. This contributed some $140 million in lost earnings after tax. Inventory lock up of gold resulting in 15,000 ounces of gold being produced, but not sold. Net realizable value write-down or ore stockpiles of $125 million. Indirect tax provision of $15 million and corporate restructuring costs of $4 million. After adjusting for these exceptional items, this results in adjusted headline earnings of $9 million. On the 15th of July, in our quarterly announcement, we noted that we will booking an impairment charge of between $2.2 billion and $2.6 billion in quarter 2. The review of the carrying value of our mining assets, including ore stockpiles was in accordance with the International Financial Reporting Standards given the number of indicators that have changed, including a sharp drop in the gold price, higher discount rates and a reduction in our market capitalization. The impairment has now been finalized to just under $2.4 billion post tax. The impairments of our Continental Africa assets totaled $1.56 billion to $608 million in the Americas and $213 million in South Africa. Importantly, these charges do not impact our cash flow and are excluded for the purposes of the financial covenant included in our banking agreement. I'll now go to Slide 33 on the balance sheet. At the end of the quarter, our net debt had increased to $2.78 billion, largely as the result of funding capital expenditure compounded by the lower gold price. Net debt-to-EBITDA was 1.56x, all within the loan covenant on our bank facilities of 3x. The successful issuance of a $1.25 billion 7-year bond at 8.5% coupon, illuminates our refinancing risk around the $733 million, 3.5% convertible bond, which falls due in May next year. It improves our debt maturity profile and provide additional liquidity of around $0.5 billion as Venkat mentioned earlier. We have also launched a tender offer the early redemption of the $733 million convertible bond, which expires on the 25th of August. As a result of this refinancing, the $750 million standby facility is no longer acquired and has been canceled. In addition, the new $1.25 billion bond has been structured to provide us with some flexibility to early repayment option. Once the $789 million, 6% mandatory convertible bond has been redeemed in September this year, through the issue of just over 18.1 million shares, our net interest charge will increase by around $30 million. Turning to Slide 34, and looking at the outlook for quarter 3 and the full year. In quarter 3, production is forecast to be between 950,000 and 1 million ounces at a total cash cost of between $860 to $890 an ounce, which incorporates ongoing winter power tariffs, and the impact of the annual power increases in South Africa. For the full year, as detailed in our prequarterly announcement on the 15th of July, we have reduced our annual production guidance to between 4 million ounces and 4.1 million ounces. We are projecting a strong second half of the year with the 2 new projects, Tropicana and Kibali, coming onstream. Sunrise Dam accessing the high-grade Crown Pillar, and Geita having 2 full quarters of production, following the extended shutdown of the in SAG mill in quarter 1. We have also allowed for the removal of unprofitable ounces at these lower gold prices. Our cash cost outlook for the year remains unchanged of between $815 million and $845 an ounce, with the lower guided production being mitigated by weaker local currencies. We expect our all-in sustaining cash cost for the year to be around $1,200 an ounce. This is based on the World Gold Council measure, which includes our total cash cost, sustaining CapEx and corporate overhead. Through the revenue enhancement from Tropicana and Kibali, and the cost and capital reductions outlined by Venkat and Ron, we are targeting an all-in sustaining cash cost of $1,000 an ounce in 2014. With that, I'll hand back to Venkat.
Srinivasan Venkatakrishnan: Thank you, Richard. And if we can conclude taking a look at Slide #36. Our strategic priorities remain the same, we are restructuring the business to face the low gold price environment. We are still bullish in terms of the gold price in the longer-term. But having said that, in the short term, I think we are likely to see a low gold price environment and quite formidable volatility in the gold price, so we want the business to be prepared. And if the price then surprises us on the upside, then we claim that extra cash and margin. At the same time, we want to preserve long-term optionality at a reasonable cost to the business. We have demonstrated some of the savings, which we have already locked-in in the business going out into 2014, the rest of it are in progress. Hopefully, when we have this call next quarter, we'd be able to report production from 2 of our major projects, which is Tropicana and also Kibali, they would be in gold pooling mode. And at the same time, we continue to pursue options around the asset sales and partnerships under Charles. And through this period, we've always had a history of having a proactive balance sheet management strategy and in sharing sufficient liquidity for the business. And that focus hasn't changed. So when we start the quarterly call next time around, we'll probably use this again as the first slide, to show what progress has been made as we go in quarter-by-quarter. With that final note, I hand you back to Stewart to the take the questions.
Stewart Bailey: Dylan, would you call for questions, please?
Operator: [Operator Instructions] Our first question comes from Harry Mateer of Barclays.
Harry Mateer - Barclays Capital, Research Division: I have several questions. I guess, first, when you look at curtailing production in the mine that might be uneconomic, and I know you haven't reached decision on which those assets are, but can you give us a rough sense for how quick that process could be from decision to curtail, to when you can realistically shut down operations and actually start saving cash, is it a 1 quarter lag, more or less?
Srinivasan Venkatakrishnan: If I can pick up that question first and then I'll pass you across to Ron or Mike to supplement. The reality is part of the reasons why you see some of the high cash cost at the mines could be on what their objectives have been pushed down from corporate. If the objective of a mine, which has got lower grade, is basically to prolong mine life and to focus on a particular production target, the outcome is not necessarily going to be cash conducive. Whereas if the target given is to get that optimum balance between cash flow on production, you will get a different outcome. So purely looking at where cash costs are in a particular mine, you can't conclude that, that's effectively on its last legs. That's the broad aspect to the question. So you've got to go back doing the mine plans, and it really depends, to answer your question on the nature of the assets, most of the assets would be unaffected, but depending on the stage of the life cycle, you could see anything from between 6 to a 9 months’ time lag to basically consult all of the stakeholders involved and start directing it towards either closer or care and maintenance. But it will be a detailed trade-off analysis, which has to be done mine by mine. And in some instances, where you've got a shorter mine life, that can move into closure or care and maintenance mode pretty quickly. Ron, anything to add?
Ron W. Largent: I think as well, I think it depends on the asset and on the amount of work that it takes, whether it's water, labor, government, all those things have to go into the plan. And then adding to that, I would think if it's a complete closure because you're getting close enough to end of the reserve, or if it's something you want to keep in care and maintenance. So I think a lot of those things go on, but you can go from a very few months to some being a very long period of time depending on the physical assets -- the physical makeup of the asset.
Harry Mateer - Barclays Capital, Research Division: My second question on the net debt to EBITDA covenant of 3.0x, I know you're currently well within that calculation, but it is a trailing calculation and presumably, there are going to be a couple of tough quarters here ahead before things start to really improve. So I guess, what I'm wondering is have you had any preliminary conversations with the banks to perhaps loosen that covenant well in advance of having potential issue with it several quarters from now?
Srinivasan Venkatakrishnan: Yes, I'll pick up that question, if I may. Firstly, we did a trading metric, and it is tested, in the month of December. And firstly, if you look at -- it's tested in December and June, on a trailing metric in June, we are 1.56x. What you've also got to bear in mind, that we do get a production coming in from Tropicana, and based on what our joint venture partner has commented on this call, and that commenced recently, we're also getting production coming through from Kibali. So you will start to see the pickup in production coming through whilst the CapEx tapers off as well. So from a comfort point of view, in terms of the threshold on the covenant, within shooting range, even stress tested for gold prices, disruptions, et cetera. So with regard to that point, we are basically quite comfortable. Secondly, from a macro point of view, with regard to the banks, we have had a very supportive bank group who have been with Ashanti since 2000. In the refinancing, we have done, you've got to bear in mind that the current revolver is going back to an undrawn mode, the $1 billion will be undrawn under the revolver. And the only banking facility, which then relies on the covenant of DFC is the Australian dollar facility, which is going to get the benefit of the Tropicana cash flow. So the banks, they have been supportive, and also, in a reasonably comfortable position in that regard. And I think it's premature for us to comment on our any proactive discussions with regard to the bank group, which we may or may not be having. But rest assured, we have got a track record of proactively managing our balance sheet and liquidity position. That's the best we can comment at this stage.
Operator: Our next question comes from David Haughton of BMO.
David Haughton - BMO Capital Markets Canada: Got a couple of questions. I'll just start with the wage negotiations. Say, that you've entered the mediation phase. What's the next step from here? And when do you think a likely timeline is until the deal is finalized?
Srinivasan Venkatakrishnan: David, it's Venkat here, I'll pick it up and then hand you over to Mike O'Hare. Firstly, that dispute has been declined, and it's with the CCMA at the moment. There were lots of comments about the fact that the CCMA process is not going to involve all of the unions, that's been addressed, all 4 unions. The CCMA combined it as one dispute. And all of the unions have actually been part of that discussions with the CCMA. It is a 30-day process until -- probably towards the third or the fourth week in August, where the mediators have heard certainly our side of the story, they are talking to the various unions of the state. And if that dispute doesn't get resolved in 30 days, then the unions could be given a certificate to effectively embark on a protective strike, that's an option which is available in that regard. But having said that, we are hopeful that, certainly, all of the stakeholders will understand that the impact, which we have seen from a strike and what that consequence has had with regard to the companies, with regard to the unions and the employees, and even with regard to SA as a potential mining industry destination. And we are hopeful that the discussions and the negotiations of the chamber would be successful by the end of August. Mike, anything to add, no?
David Haughton - BMO Capital Markets Canada: And what have you seen is the posture of the union? In the media that we've been seeing, it's still quite confrontational? Are you finding that common ground so that you avoid the severe impact of strike?
Srinivasan Venkatakrishnan: At the end of the day, what we don't want to do, David, is to comment on what's taking place within the closed doors in the mediation chambers. I think that would be inappropriate. The chamber has its own negotiating team to ask and so are the unions, but certainly, the feedback we are picking up is pretty cordial.
David Haughton - BMO Capital Markets Canada: All right. Well, there's a lot at stake, so good luck on that.
Srinivasan Venkatakrishnan: Just one other point, David, what can also happen is it's not that it's an automatic period, that at the end of 30 days, it's strike or nothing, it can be extended by mutual consent.
David Haughton - BMO Capital Markets Canada: Okay. All right, next question. Not surprisingly, once you run an $1,100 mine model, you end up with those mines that make it, those that don't, et cetera. How have you found the appetite at the moment for looking for partnerships or the sale of those assets? It is certainly a bias market, have you found any interest in either the partnership or sale avenue?
Srinivasan Venkatakrishnan: David, we are picking up a fair amount of interest in terms of potential partnerships and sale aspect. But as you rightly said, it's a bias market out there, and we don't want to do is to knee jerk into reaction in terms of some of the assets and then effectively enter into partnerships for partnership's sake. It's all around the value trade of the equation. But what we are very clear is even in terms of Navachab, which we have identified for sale, which is going through the sale process, Ron has got a clear backup strategy in terms of continuing to operate the mine if the sale process falls through. So it's not that we are banking on one particular outcome.
David Haughton - BMO Capital Markets Canada: Okay, that's good. The guidance that you've got for this year looks very much the back-end loaded. I've heard what you've said about the contribution of Tropicana and Kibali. Will those 2 assets be in commercial production or would you be counting pre-commercial production as part of the goal?
Srinivasan Venkatakrishnan: In terms of your annual -- in terms of the guidance, you are right, the fourth quarter does have a significant pickup in terms of production. And the key sources of that, if we can recap is, Australia, in terms of Tropicana, that would be commercial production coming in. And Sunrise Dam is also accessing the Crown Pillar area in terms of ore, that's the second factor. Thirdly, you will see Geita having a fuller 6 months of the year as compared to the first 6 months of this year where it was subject to the SAG mill realigning, and also a pickup in terms of the South African production. And with regard to Kibali, we're still waiting for firm indications from our joint venture partners. I don't want to be dragged into how many ounces have gone into the plant and whether it would, from a point of view, going to preproduction or commercial production. But from our point of view, these are the primary areas where we see the pickup coming. It's Australia and it's coming from parts of Continental Africa and South Africa.
David Haughton - BMO Capital Markets Canada: All right. Just looking at Sunrise Dam, clearly high-costs, some of those costs associated with the prep work for the Crown Pillar. What happens -- how long will that Crown Pillar last? And what happens after that?
M. P. O'Hare: The Sunrise Dam production profile is -- yes, it has the Crown Pillar in the second half of 2013. But there's also considerable work done in the underground with the exploration or the [indiscernible] exploration and the workaround turning Sunrise Dam into a bulk underground is in the process. That's really the key to the future of Sunrise Dam. So the Crown Pillar helps in 2013, and there may be some early into 2014. But is really around the lower cost called the GQ, I think is the name of the ore body. And it becomes a bulk mineable ore body. And that's the -- whether Sunrise Dam continues or not is key is the bulk mining.
David Haughton - BMO Capital Markets Canada: Okay. And for that GQ in the bulk mining, are you looking at the long hauls typing? Or are you even thinking about sublevel typing?
M. P. O'Hare: Well, I think that's right in the middle, they're looking at everything right now. What they've done is went in and they've implemented reverse circulation drilling underground, which has allowed them to get out in front of their ore body and they're starting to see great results and changing it from a narrow structure, I'll call it, instead of a narrow vein, into bulk mineable units. And the development rates and their mining rates have increased tremendously in the past few quarters to where they're setting themselves up to take advantage of that in whatever that mining method could end up being.
David Haughton - BMO Capital Markets Canada: Okay. Switching over to Obuasi, so I just got one operational and then one financial question left. Switching over to Obuasi, clearly high-cost. I heard a bit about what your plan was to improve those, can you just run through what we should be expecting for Obuasi in the near and medium-term please?
M. P. O'Hare: Okay. I mean, the near and medium-term, the key -- I actually got to go spend some time at Obuasi, so I think you have a fairly good understanding of where we're going in the short and medium-term. The key at Obuasi is getting the material, the ore body to the service. I know it sounds simple, but with the old infrastructure, it can be challenging. So ultimately, that is the reason behind the decline access into the ore body and secondary off the decline is to allow us to do underground drilling and ore body definition. Right now, the productivity of the underground, and that comes from where we've changed from a contract development miner to owner-operator and if we need to get to about 5,000 tons per day out of the underground. And we've seen an improvement in -- at the end of quarter 2 and we weren't quite at 5,000, but the plan is to get that by the end of year, which will give us at least break even economics at the mine without counting the decline. So bottom line is you need to have that production profile of your -- 300,000 ounces a year to get to that breakeven profile.
David Haughton - BMO Capital Markets Canada: Okay. And so relatively speaking, you're satisfied with the mining and the direction it's moving in, but your real problem is that ore handling once you've got it mined?
M. P. O'Hare: Yes. But where we're headed to with the decline, we'll open the ore body up with the initial part of what we call a one-part of the decline that allows us to get jumbos underground. And then the main decline will allow you to not only access the lower end but up of the -- from the 50 level and above, we will be able to start looking at using truck haulage out of the decline for a certain amount of the ore.
David Haughton - BMO Capital Markets Canada: Okay, so for the underground, is 5,000 tons a day as good as it gets? Or do you have ambitions beyond that?
M. P. O'Hare: Of course, I'm an operator, I have all sorts of ambitions. I think with the -- the bottom line is I think you can do 5,000 tons a day through the 2 primary shafts. And we're right in the middle of a whole planning sequence with the -- once we've decided to go with the decline, then we will see what we can subsidize that 5,000 ton a day with the decline from the material above the 50 level. And it's a process that we hope to have it in our next year's plan that gives us optionality with the initial decline. So 5,000 is approximately what you can do from the 2 shafts that we have right now.
David Haughton - BMO Capital Markets Canada: All right, and then finally, a question more I guess, in Richard's area. Lots of adjusted earning numbers all over the place, so the number that you feel most comfortable with as a representative number for this quarter just gone is your adjusted-adjusted $9 million profit as opposed to your loss of $135 million, is that what we should be thinking about?
Richard N. Duffy: Correct, because what we've done there is the biggest move there is the ore stockpile write down. So we've added that back to the adjusted headline earnings with the other adjustments that are spoke to. So yes, 9 is the number that we think is the most comparable number, I think, made the adjustments for that one-off items and the exceptional items.
David Haughton - BMO Capital Markets Canada: Yes, because I was looking at those adjusted headline numbers compared to the headline, and going, hmm, some of these should have gone the other way. So I'm glad that you explained that the $9 million is the better way to look at it.
Richard N. Duffy: David, just one -- if I can supplement what Richard has said. Basically, we are constrained in terms of what we can add in context from an headline earnings point of view and going into adjusted headline earnings. And other area where you can look at, if you are comparing it with your model, is do look at the Item #5, special items note, and you would see quite a few items which have gone through in there. We have not necessarily added back headline earnings. And that might explain some of the differences, which you had.
David Haughton - BMO Capital Markets Canada: Right. Although the adjusted number that you reported of the loss of $135 million is a non-GAAP measure anyhow.
Srinivasan Venkatakrishnan: Yes, correct. Correct.
Operator: Our final question comes from Andrew Byrne of Barclays.
Andrew Byrne - Barclays Capital, Research Division: It's Andrew Byrne here from Barclays. A couple of questions to ask, maybe we kick off an easy accounting questions to begin with. In the quarter, there's quite a large associated loss at $183 million. I assume that, that includes some type of impairments or inventory write-down or could you may be clear what that number is on a rolling basis?
Srinivasan Venkatakrishnan: Sorry, are you referring to the $183 million, being the impairment which is going through the equity accounted investment line, is that what you're referring to?
Andrew Byrne - Barclays Capital, Research Division: Yes, that's correct. Yes.
Srinivasan Venkatakrishnan: Effectively the total impairment for the group and the stock write-downs in total have been around $2.4 billion, of which $183 million goes through the equity line. And John and Richard can assist me here, is that primarily around the Mongbwalu project?
Richard N. Duffy: It's partly the impairments for joint venture shrinkage and that includes Sadiola and the other assets.
Srinivasan Venkatakrishnan: Okay. And the stockpile write-down goes through that.
Andrew Byrne - Barclays Capital, Research Division: Okay, perfect. And then moving on, it's obvious that you have focused a lot of attention on discretionary spend here, which is certainly commendable. And whilst the progress at Tropicana and Kibali has been fantastic and Geita has made a welcome return in this quarter, it seems that the real engine are still not firing, namely when I look at it, Kopanang and Mponeng in South Africa and Obuasi are materially underperforming. Obviously, you've just discussed there what you're looking to Obuasi and at prior results. But could you just explain exactly what's gone wrong at Kopanang and Mponeng and what you expect to -- how you expect to turn those assets around? And equally, what is included from those 2 assets inside of your 4 million ounce guidance.
M. P. O'Hare: Mike here. So if I could firstly touch on Kopanang. Kopanang is one of those assets that had a significant amount of low-grade mining, which doesn't make money that we've, I think, over the last 6 to 9 months, working away at and taking out. So that's really the story at Kop -- they're actually achieving to the budget, beyond the budgets that we set for them this year. The bigger issue is at Mponeng, as I mentioned earlier, the first issue is the grade, which has been coming off for quite a long period of time, our grade year-on-year is 10% lower, and our grade quarter-on-quarter is 10% lower. That's not something we can do a whole lot about. So if you turn your attention to the volume part of the equation, firstly, from the time we started the strike at Mponeng, it's the mine that has struggled the most to get back to levels that it was at pre-strike. We've changed the management team now at Mponeng. These came up a little bit. Because the simple fact is we're not mining enough with the crews underground. So we've analyzed what we're doing wrong and we've picked on 5 specific really mining basic things to be concentrating on, because what it thinks, it's increasing the productivity of the mining crews underground. There's nothing else structural that's changed at that mine.
Srinivasan Venkatakrishnan: And if I can pick up the second part of the question, the numbers included for Kopanang for the year is around between 170,000 to 190,000 ounces, of which around 94,000 ounces has been banked in the first half of the year. With regard to Mponeng, it's 400,000 to 420,000 ounces for the year, of which around 173,000 ounces has been banked in for the first half of the year.
Andrew Byrne - Barclays Capital, Research Division: Sure. Okay. So at Mponeng, whether the real risk given this is really, you do actually need to have that productivity improvement come through to hit your guidance?
Srinivasan Venkatakrishnan: Yes, expecting we're seeing the green shoots, Mponeng will probably hit its highest ounce number for the year in the month that we're currently in at the moment. Specifically, the chain appears to have turned around.
Andrew Byrne - Barclays Capital, Research Division: Sure, okay. And then one final question, if I may. Just when we look at your cost guidance for the year, you -- it appears -- given what you've also guided for 3Q, it appears that 4Q is going to be a stellar quarter from a cost perspective. And I whilst I understand that you've got Geita, you continue and get to ramp buckets where it should be, equally you've got some volumes from Tropicana and Kibali. And from the numbers you just gave me there, I would assume some cost improvement at Mponeng. Are there any other particular assets you'd want to flag where we should see a material cost improvement?
Richard N. Duffy: No, I think you've got most of them. Just Sunrise Dam obviously, Crown Pillar which Ron spoke to is a big help there. But anything I would add is you just need to factor in the weaker local currencies as well in getting to the number, the guidance number.
Operator: Gentlemen, we have no further questions. Do you have any closing comments?
Stewart Bailey: No, Dylan, I think that more or less wraps it up. Just thanks to everybody who joined us on the webcast and on the call. And we'll do this all again in 3 months. Thank you very much.